Operator: Good afternoon everyone and thank you for participating in today's Conference Call to Discuss NV5's Financial Results for the Fourth Quarter and Full-year Ended December 31, 2015. Joining us today are Dickerson Wright, Chairman and CEO of NV5 Holdings, Mr. Michael Rama, CFO of NV5 Holdings and Dr. Lauren Wright, Director of Investor Relations for NV5 Holdings. I would now like to turn the call over to Lauren Wright.
Lauren Wright: Thank you, operator. Before we proceed, I would like to remind everyone that this conference call may contain forward-looking statements within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995, including statements concerning future events and future financial performance. The Company cautions that these statements are qualified by important factors that could cause actual results to differ materially from those reflected by the forward-looking statements contained herein. All forward-looking statements are based on information available to the Company on the date hereof and the Company assumes no obligations to update such statements except as required by law. I would like to remind everyone that this call will be available for replay through March 17, 2016, starting at 7:30 PM Eastern tonight. A webcast replay will also be available via the link provided in today's press release and the Company's website at www.nv5.com. Any redistribution, retransmission or rebroadcast of this call in any way without the expressed written consent of NV5 Global Inc., is strictly prohibited. We will begin the call with commentary from Dickerson Wright, Chairman and CEO of NV5. Before turning the call over to Michael Rama, Chief Financial Officer for review of the fourth quarter and full-year 2015 financial results and outlook for the rest of the year, we will then open the call for your questions. Dickerson, please go ahead.
Dickerson Wright: Thank you, Lauren and thanks to everyone for joining us. Welcome to NV5’s fourth quarter and full-year 2015 conference call. As you saw after the close of the market today, we issued a press release announcing our financial results for the fourth quarter and for the full-year ending December 31, 2015. We are pleased to report tremendous fourth quarter results with revenues increasing 40%, EBITDA increasing to 16% and net income increasing 90%. We also created organic growth across our service lines in 2015 and one several large newsworthy contracts again expanding our backlog. We also made great progress in the process of integrating the four acquisitions we completed in 2015 and promoting cross-selling between them to increase growth and decrease sub-consultant fees. This quarter marks the thirteenth consecutive quarter that NV5 has created growth and profitability for its shareholders since our IPO in March of 2013. The culture of NV5 is to constantly improve our operating results measured by organic growth and profitability. We strive to add this culture to our acquisition. As you know we have made 15 acquisitions since our inception and we will continue to acquire a good company. As we make acquisitions almost 20% of our earnings per share is impacted by the amortization of intangible assets. Since we are a service company the amortization of intangible assets in each acquisition is not meaningful to you as a shareholder or to us as business operators. You will therefore see in this release and in reports going forward that we will continue to report earnings per share on a GAAP basis but we will also report earnings per share before the amortization of intangible assets, which we refer to as adjusted earnings per share. We are pleased to report great results for the full-year ended December 31, 2015 which Mike Rama will also discuss later. We feel that NV5’s current operating philosophy based on a vertical organization that empowers experience and familiar leaders and encourage its cross-selling between business lines can carry us well beyond our published goal of $300 million in run rate revenues by the end of 2016. We will have the same very flat leadership structure. We look forward to creating new goals with NV5 continues to grow at a pace well above our peers. I would also like to mention a word about organic growth. The organic growth of 9% we created in the full-year 2015 far exceeds our industry standard. However, it was impacted by a downturn in our natural gas pipeline services business, which represents less than 10% of total revenues, but resulted in organic growth of 3% for the quarter. However, we continue to anticipate similar organic growth in 2016 to our organic growth in 2015. I would like to now provide an update about acquisition. Those that have we recently completed and those that we are targeting in the future. We are targeting acquisitions in the engineering sector that will provide high profitability in organic growth. We are specifically focused on program management for aboveground structures, and highways, and transportation. We are also pursing targets that has a bigger presence in environmental and occupational health safety, forensic construction defects and sectors that are not cyclical or dependent on capital expenditures. Our recent acquisition of Sebesta was reflective of our focus in these areas and also enhanced our management team. We acquired Sebesta at the beginning of February. Sebesta is a very established and well respected MEP engineering and energy management company based in Minneapolis with 12 offices, 175 employees and annual revenues of approximately $35 million. Bringing Sebesta into the NV5 family is going to expand and remake our energy services vertical, but it’s also going to be an energy space we want to be in and not linked to energy production in any way. Sebesta is a very large practice in Washington D.C. and has provided engineering commissioning, services on some of the largest federal projects in the U.S. in the last decade, including the renovation of the Pentagon where they helped the six million square-foot building achieved LEED certification. They have also commissioned a number of U.S. Embassies around the world. The George W. Bush Presidential Library and the U.S. Capitol Visitor Center. Sebesta's other clients include large project corporation such as 3M, Cargill, Hines Property Management and they also provide services to some of the largest utility companies and airports in the United States. NV5 already has the capability to do much of the work Sebesta's professionals were previously sub-contracting to other infrastructure program management and architectural firms. And so in this way, we know we will able to expand the services Sebesta's experts that they have been providing to their future clients for the last 20 years. Since our last earnings call, NV5 has won some of the most coveted public planning, engineering and program management contracts in the country. Our professionals were chosen for the fourth construction package of California’s High Speed Rail program, The University of Kansas Hospital new tower construction [indiscernible]. Five prestigious K-12 education projects in Massachusetts and a $10 million of public utility and power distribution work in Southern California. We are also starting to see some tailwinds associated with the $305 billion federal transportation spending bill that was signed by President Obama in December. A sizeable portion of funding and the bill was set aside for transit oriented development, redevelopment and complete street projects. And the RBA Group, which you may remember we acquired in July, is already in the go-to firm for many of these types of projects in the Northeast. The funding for our ongoing $3.8 million water project in Waterbury, Connecticut for example makes that the largest federal award given to the state. We expect to see many more projects like this that combined federal and local funding for economic revitalization and sustainable projects. You may also have seen that we made some announcements about large wins with private clients across many of our verticals. In our infrastructure verticals, for example, we were chosen for the historic Tejon Ranch Project in California, which is one of the largest land development projects in recent California history spending 270,000 acres. We expect these associated with this project to exceed a $11 million over six years. And on the East Coast, our infrastructure engineers won a $3 million contract with Verizon to provide utility service and civil and site design services for Verizon, manholes, conduits, cable facilities in New York. Verizon is a client RBA has had for several years. And finally, overseas we agreed to provide geological surveying and mapping services for RIMCO’s diamond, gold and iron ore mines in West Africa. As I have previously explained, we have a very strict financial and health and safety criteria for doing work overseas and this contract in particular includes a 30% prepayment plan to NV5 upfront. We don’t engage in projects overseas and we do not consult on projects where the outcome or fee is that risk. However, since we have increasingly been approached with lucrative opportunities with large international clients, we have developed a rigorous wedding process that will allow us to select among these and increase revenues. In the same vein of increasing revenues and promoting cross-sells among our protocols, we also recently announced the promotion of Scott Kvandal, our current Chief Synergy Officer to COO of Infrastructure on the West Coast. Scott is a Stanford educated civil engineer; licensed in six states was mostly COO of West Coast operations at Bureau Veritas, North America before which he was a President of Berryman & Henigar and President of Barrett Consulting Group. Ernesto Aguilar will remain COO of Infrastructure for the East Coast operations. We know that this division responsibly will allow us to capitalize on the significant growth in the volume of work we are winning in infrastructure services across the country. John Bills was also promoted from Managing Director to COO of Building Program Management recently. John brings more than 20 years of applied project management experience to his role and he exemplifies the kind of entrepreneur leader we want to be the face of NV5 to our clients. I would like now to turn the call over to our Chief Financial Officer, Michael Rama for a more detailed overview of the financial results for the fourth quarter. Michael?
Michael Rama: Thank you, Dickerson and thank you everyone for joining us this afternoon. First, I will review the results for the fourth quarter and full-year ended December 31, 2015 results and then I will provide an outlook for 2016. Gross revenues in the fourth quarter of 2015 were $42.3 million, an increase of 47% compared to gross revenues of $28.7 million in the fourth quarter of 2014. Net revenues for the fourth quarter of 2015, were $33.8 million compared to $21.1 million, an increase of 58% from the fourth quarter of 2014. Gross profit for the fourth quarter of 2015 was 45% compared to a gross profit of 39% for the fourth quarter of 2014. EBITDA for the fourth quarter of 2015 was $5.2 million or 16% of net revenues, an increase of 72% up from $3 million or 14% of net revenue for the fourth quarter of last year. Net income in the fourth quarter of 2015 was $2.7 million, an increase of 90% compared to net income of $1.4 million in the fourth quarter of 2014. Fourth quarter 2015 diluted earnings per share was $0.33 versus $0.25 in the fourth quarter of 2014. Our fourth quarter 2015 earnings per share reflects the weighted average shares outstanding of 8 million shares. For the three months ended December 31, 2015 compared to the weighted average shares outstanding of 5.7 million shares for the three months ended December 31, 2014. Adjusted EPS excluding the impact of amortization of intangible assets was $0.41 per share for the fourth quarter of 2015 compared to $0.30 per share for the fourth quarter of 2014. Now, we will review the results for the full-year ended 2015. Gross revenues for the full-year ended December 31, 2015 were $154.7 million, an increase of 43% from $108.4 million for the full-year ended 2014. Net revenues for the full-year ended December 31, 2015 were $123.7 million compared to $82.9 million, an increase of 49%. Our organic growth for the full-year ended December 31, 2015 was 9%. Gross profit for the full-year 2015 was 45% compared to 42% for the full-year ended 2014. EBITDA for the full-year ended 2015 was $17.2 million or 14% of net revenues, up from $10.2 million or 12% of net revenues for the full-year December 31, 2014. Net income for the full-year ended December 31, 2015 was $8.5 million or $1.18 per diluted share, up from net income of $4.9 million or $0.87 per diluted share for the full-year ended December 31, 2014. Diluted earnings per share reflects the weighted average shares outstanding of 7.2 million shares for the full-year ended December 31, 2015 compared to the weighted average shares outstanding of 5.6 million shares for the full-year ended December 31, 2014. Included in the weighted average shares outstanding for the full-year ended 2015 is the impact of 1.6 million shares issued from our secondary offering on May 28, 2015. Adjusted earnings per share was a $1.41 per share for the full-year 2015 compared to a $1.03 per share of the full-year of 2014. Cash flow from operating activities increased $4.6 million in 2015 compared to 2014. Cash flow from our operating activities in 2015 was $6 million compared to $1.4 million for 2014. At December 31, 2015 our cash and cash equivalents were $23.5 million compared to $6.9 million as of December 31, 2014. At December 31, 2015 we reported backlog of $155.3 million compared to $82.1 million as of December 31, 2014. Our backlog is an estimate of our revenues to be recognized over a rolling 12-month period. Now we will move on to our outlook for 2016. We are initiating 2016 guidance for revenues and earnings per share. We expect full-year 2016 revenues to range from $220 million to $230 million, which represents an increase of 41% to 48% from 2015 revenues of $155.9 million. We further expect that our full-year 2016 GAAP earnings-per-share will range from a $1.40 per share to a $1.54 per share. Representing an increase of 19% to 31% or GAAP earnings-per-share of a $1.18 for the full-year ended 2015. We also expect full-year 2016 adjusted EPS will range from a $1.67 to a $1.81 per share. We note that this guidance does not include any anticipated acquisitions for the remainder of 2016. This completes our prepared remarks and now we would like to open the call for your questions.
Operator: Thank you, sir. [Operator Instructions] Thank you. Our first question comes from the line of Michael Shlisky of Seaport Global. Your line is open.
Unidentified Analyst: Hi, guys this is Ryan on for Mike. Congrats on a nice quarter and nice outlook.
Dickerson Wright: Thank you.
Unidentified Analyst: Maybe we could start with the outlook it seems like you are forecasting 9% organic growth in 2016 and you ended with 3% organic growth. Could you just talk about or gives us a sense what the organic backlog looks like at year-end and maybe any color on what’s given you confidence that growth rate will accelerate in 2016?
Dickerson Wright: Well, let’s - is it Ryan did you say I am sorry.
Unidentified Analyst: Yes.
Dickerson Wright: This is Dickerson Wright. Ryan perhaps you weren’t clear the actual growth in the quarter was 3%, but the annualized growth for the entire year was 9%. So we are projecting another 9% organic growth on a much higher volume where we’re giving guidance I think in the range of $220 million to $230 million. So how we anticipate and look for our organic growth of course is really connected to our backlog. And one of the interesting things to see is that how we report backlog is very conservative, only based on revenues that we anticipate to bill in our rolling 12-month period. You'll notice that our quarters, our first and third quarters are usually a little slower than our bigger quarters, which is the second and third. So you would anticipate the backlog build to go down because we would be taking off a much higher revenue quarter in the third - third quarter and then having included in it a lower revenue fourth quarter, but actually our backlog went up from $151 million to $155 million. So our organic growth that we get is ground up every office, every profit center, we spent a tremendous time on budgets, we believe our budgets are contract with you and our managers contract with us. So this we feel is gets very good clarity and so we feel comfortable with giving guidance of 9% on organic growth.
Michael Shlisky: Okay. So is it fair to assume that the organic backlog growth ending 2015 was somewhere in that high single-digit range as well then?
Dickerson Wright: Assuming it was, our backlog for 2015 was 9% and I’m missing your question on assuming that was what it actually was.
Michael Shlisky: Okay, great. No, I misunderstood that. Thank you. And then could you just talk a little bit about what’s your margin assumptions are in that guidance and how are you guys thinking about your long-term EBITDA margin target to 12% to 15% and should we be within that range each quarter moving forward?
Dickerson Wright: Well, as to the specifics I’ll let Mike Rama our CFO answer that. I’ll start with, we feel very comfortable with the guidance of 12% to 15% EBITDA on what we are projecting to be a run rate of $300 million by the end of 2016. And I say that because of where we are right now historically and that we’re very close I believe to the 12% EBITDA margin right now, but Mike will answer that specifically on gross margin which increase, which we are very happy about and you'll see a gradual increase in gross margin and this is very important to us because it leads to our confidence in the EBITDA margin.
Michael Rama: Yes, right. As we noted in our comments, our EBITDA margin on net revenues was 16% for the quarter. Our EBITDA margin - gross margin or EBITDA margin on for the year is 14% on net margin. So on a gross, we are looking at about 14% and 12%. So we are really approaching that range of what we’ve talked about 12% to 15% and as we grow and bring on more acquisitions will be more scalable so we will see that growing even going forward.
Michael Shlisky: Okay, great. And then last one for me could you talk about any areas where you're regionally where you are pursuing more M&A and what valuation multiples look like in the current environment?
Dickerson Wright: Well, yes. I think in my prepared remarks I said that we and this is our strategy at NV5, we target opportunities that have higher organic growth and higher profitable then or more profitable I should say then the industry standard. Having said that, our strategy is not geography based, it’s what really can support the smaller acquisitions will have to support an existing platform. And the larger acquisitions are the once that we have confidence in the management and we have confidence that they will and culturally we sit back and support this higher organic growth and higher profitability. So as I said we are looking for environmental opportunities, those in occupational health safety, those in emissions, we're looking for - continue to look for program management because they come in at a much higher margin, construction defect for forensic work, we’ll continue to look for acquisitions and program management and transportation, which is a very steady stream of revenue. All of those we’re looking for acquisitions that will have a higher organic growth and our industry standard which is about 6% and certainly a higher profitability so that we which above the industry significantly, so that we can reach that 12% to 15% EBITDA that we have stated.
Michael Shlisky: Okay. Great, thanks guys. I’ll jump back in queue.
Operator: Thank you. Our next question comes from Jeff Martin of ROTH Capital Partners. Your line is open.
Jeff Martin: Thanks. Hi Dick, hi Mike.
Dickerson Wright: Hi Jeff.
Michael Rama: Hi Jeff.
Jeff Martin: I wanted to comment on you on nice cash flow in the quarter. I was wondering if you could discuss how we should think about cash flow in 2016 versus 2015 I know there was nuances that consumes some working capital in the first part of the year. It seems like you have a little more of a tailwind to free cash generation in 2016 I was curious if you could comment on that?
Michael Rama: Yes. Jeff, how it’s going? As we've noted we’re seasonal as Dick mentioned before our second and third quarters are traditionally are busiest work production wise quarters that tends to be a bit of a drain on our cash flow strictly because we are paying payroll every two weeks and we are collecting that every 80 days to 90 days, it takes 80 days to 90 days to collect that work back. So typically the cash drain is little bit more in the second and third quarters and we typically see a spike of cash flow coming in the fourth quarter and first quarters as demonstrated in this fourth quarter that we just closed. So we grow some of that may smooth out a little bit, but we still that as part of our seasonality built into our business.
Dickerson Wright: Mike, if I can add to Jeff. Process improvement, we will focus even more continued on in our industry days sales outstanding and I think we are about 82 days in collecting our money and obviously our major costs and expenses is in payroll and consulting fee. So I think the focus that we could just lower the DSO down to just a few days, you are going to see a significant spike in our cash flow.
Jeff Martin: Okay. And then I was curious if you could talk about the pipeline conversion where acquisitions you've done maybe in the last 18 months to 24 months versus some of the businesses you’ve had longer than that. I’m curious what kind of success you're having and converting the recent acquired pipelines because I think that's an important part of the story and be so successive or lack of your acquisition?
Michael Rama: Jeff, excellent question. Integration is continuing thing that we have to work on. So to start to in our business a couple of things as you certainly well-known and our listeners I'm sure know that. Integration is key, the business has to be scalable, the culture is that these are all the first two steps are going into that. We need to have organic growth with every acquisition. We need to have process improvement with every acquisition and then the work we need to do is has to be scalable. So let me just comment on the two largest acquisitions that we've done recently and let’s speak to those. The last first, we cannot be more pleased about the cultural fit and the significant add to us with Sebesta. They are entering a market that we were really wanted to be in the mechanical, electrical, plumbing and design energy efficiency space particularly in the federal government area and particularly and things that are not so dependent on CapEx. Things that are less cyclical, federal buildings constantly need improvement although we can, we have to be very careful on what we say with the Department of Defense, but we are doing a tremendous amount of embassy work around this world for them. So that integration worked very well for us because it added something that we were looking to support which is having support to us is the mechanical, electrical and plumbing. But on the other hand, we're adding a simple component to them that they never had. So now they are able to go for whole package project so we have a very strong leader in that group who came from a public company background and the integration plan there is working very well and I would look very significant for process improvement and an improvement in the gross margins from having them aboard. So we are very pleased with that. We are also quite pleased with the RBA acquisition and RBA brought us into the Northeast were geographically want, but they really were in a business we ran which was infrastructure. We think though that the mark that they have made in the Northeast on true large anchor clients has introduced to us something that we didn't have a presence in before. And indeed now what we are introducing to them is geotechnical engineering and drilling work that was once sub-consulted out that we’re able to do for them. So integrations are very important we thought have to be perceived to add value and we really need to have something that we add to complement the acquisition and strengthened us because no it cannot be a financial role but it has to be something that we are adding value and it’s a people chemistry business. We need to look for that scalability in the back office so that we continue - you can add to the bottom line, but we need to work together with these to enter new markets and so I feel very good about the two - these two larger acquisitions that we've done recently. So I think that’s probably the most that comes to mind so Jeff like you know I'm a bit long-winded here, but I appreciate the question that you asked.
Jeff Martin: Okay. And then I was curious if you could characterize or quantify the impact of the natural gas pipeline business slowing down. Do you have a - if that were constant with last year’s fourth quarter. Do you have a calculation of what organic growth would have been?
Dickerson Wright: Yes, I will tell you I think our organic growth would have been significantly over a 11% or closer to 12% because in the quarter itself we recognize the decrease from budget of that pipeline business I must say this it represents less than 10% of our business it was a staffing business that that was lowered our gross margin. So we are not dependent on that at all or looking for that in the new construction area. So let me say two things. As we saw and we don't - as we had absorbed that erosion from budget and I think the total was up less than 4 million total erosion from budget we had to absorb that in the organic growth, but we also increased our gross margin I believe by 3% Mike from 44% to 47% because we were doing more profitable work. But let me talk - speak to the strategy in the plan with what we intend to do with this business. You might - you heard me mention before that we’re really looking for OpEx work that is less cyclical than the CapEx work or new pipeline construction. Many people don't know this but our clients and one in particular has over 60,000 miles of pipeline already in place. And the biggest concern they have whether the price of gas is high, the price of gas is low is pipeline integrity and compliance. We have taken - we’ve changed the management in this and structure and focus of this business to be more in the OpEx or it’s compliance and in pipeline integrity business. Many of you may remember that what happened in PG&E in San Ramon whether it’s a large natural gas pipeline explosion. We were involved in the past company and our manager there was in that turnaround in San Ramon and it was a very significant opportunity for us. So we know that the pipeline business now, which we weren’t doing before which the Company we acquired AK with just a typical new constructed staffing we now have the expertise and this is the real beauty of our platform is that we can implied engineering services, compliance service to them pipeline integrity services that. So that is the direction we tend to go in and it becomes less and less dependent on the overall budget or the impact. So our assumption of 9% organic growth takes into consideration either the downturn and new construction, but we all anticipate a ramp up in the compliance sector.
Jeff Martin: Okay. And then one last quick question if I may. Any plans on getting and expanded line of credit or additional bank facility and capacity?
Dickerson Wright: Well, I don’t know what I can say I know about we intend to be not we intend to our bank has approached us on more than tripling almost four times the line of credit we have. We still have an $8 million unused line of credit and we now or in fact we are the first week of April we are meeting with them and they have offered over a four times increase in the line of credit and which we like about to a piece of it will be termed out for each acquisition. So I think we are looking more for that than we are for looking at doing a secondary or adding more shares right now into the company.
Jeff Martin: Got it. Okay congratulations on a great year.
Dickerson Wright: Thank you.
Operator: Thank you. Our next question comes from the line of Alex Silverman of Special Situations Fund. Your line is open.
Alex Silverman: Good evening gentlemen.
Dickerson Wright: Hi Alex.
Michael Rama: Good evening.
Alex Silverman: So most of my questions have been asked and answered, but just to make sure I understand the gas pipeline services business was AK, is that right?
Dickerson Wright: Yes. That was a piece of that, yes, there is and what we've done there Alex is a small piece of it was they call it AK Environmental, but a very small piece of it less than $5 million in revenues was the environmental piece in the planning and deciding that we moved over into our full service infrastructure RBA Group and so the other piece is that - is AK is that pipeline business yes.
Alex Silverman: And if I recall from when you acquired AK it has much lower margins than the rest of your business?
Dickerson Wright: Absolutely, yes, I think it’s a 5% - it’s about a 5% EBITDA business.
Alex Silverman: Okay, so you're seeing weakness in the one part of your business with the lowest margins?
Dickerson Wright: Yes, that’s a nice thing. That wasn’t friendly by design, but that’s right Alex. Right, I observe it.
Alex Silverman: Got it. Thanks, that’s all I needed. See you next week.
Dickerson Wright: Okay. Thank you.
Michael Rama: Thank you, Alex.
Operator: [Operator Instructions] As there appear to be no further questions in queue. I would like to turn the call back over to Mr. Wright for any closing remarks, sir.
Dickerson Wright: Okay. Thank you. Thank you, operator. And I want to once again thank our shareholders, thank all of our employees with our Company and a tremendous thanks to our clients. I think we are continuing to focus on our strategy of growing a Company with a very flat responsible organization where we can put our experts or entrepreneur leaders as the face of the client. We continue to work in an area that we will focus the Company that will not be dependent so much on economic cycles, but really be dependent on expanding client relationship. And we want to take this same model as we grow into new areas, new geographies, but always the strategy is to pursue organic growth, grow our Company beyond our industry standard and have operational results that are also beyond the standard. So we appreciate everyone’s belief in us. We want to thank you once again for not only for listening in today, but I want to thank all of our employees for a great year and I want to thank our clients for supporting us as well as our investors. So thank you everyone and we look forward to hearing from you and speaking with you in the coming months of 2016. Thank you.
Operator: Ladies and gentlemen, that does concludes your program. You may disconnect your lines at this time. Have a great day.